Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Essent Group Second Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Ty. Phil Stefano, Vice President, Investor Relations. You may begin your conference.
Phil Stefano: Thank you, Rob. Good morning, everyone, and welcome to our call. Joining me today are Mark Casale, Chairman and CEO; and David Weinstock, Chief Financial Officer. Also on hand for the Q&A portion of the call is Chris Curran, President of Essent Guaranty. Our press release, which contains Essent's financial results for the second quarter of 2023 was issued earlier today and is available on our website at Essentgroup.com. Prior to getting started, I would like to remind participants that today's discussions are being recorded and will include the use of forward-looking statements. These statements are based on current expectations, estimates, projections and assumptions that are subject to risks and uncertainties, which may cause actual results to differ materially. For a discussion of these risks and uncertainties, please review the cautionary language regarding forward-looking statements in today's press release, the risk factors included in our Form 10-K with the SEC filed on February 17, 2023, and any other reports and registration statements filed with the SEC, which are also available on our website. Now let me turn the call over to Mark.
Mark Casale: Thanks, Phil, and good morning, everyone. Earlier today, we released our second quarter 2023 financial results, which continue to benefit from our high-quality insurance portfolio and favourable credit performance. Also, rising interest rates continue to drive higher investment income and elevated persistency, which supports the growth of our in-force portfolio despite pressure on new business volumes. Our long-term outlook in housing remains constructive as we believe that demographic-driven demand and low inventory should provide foundational support to home prices. While there is still uncertainty surrounding the U.S. economy, we remain confident in our robust capital position and the strength of our buy, manage and distribute operating model. And now for our results. For the second quarter of 2023, we reported net income of $172 million compared to $232 million a year ago. As a reminder, our results last year were favourably impacted by the release of certain reserves associated with COVID-related defaults. On a diluted per share basis, we earned $1.61 for the second quarter compared to $2.16 a year ago, and our annualized return on average equity was 15%. As of June 30, our insurance in force was $236 billion, a 9% increase compared to a year ago. Our 12-month persistency on June 30 was 86%, and approximately 75% of our in-force portfolio has a note rate of 5% or lower. We expect that the current level of rates should support elevated persistency through the back half of this year. The credit quality of our insurance in force remains strong, with a weighted average FICO of 746 and a weighted average original LTV of 92%. Embedded HPA continues to benefit our business as the mark-to-market on the in-force portfolio mitigates the risk of claims, especially in light of the supply constraints in housing inventory. On the business front, our industry remains competitive, while the pricing environment remains constructive. We continue to focus on optimizing our unit economics and leveraging our proprietary scoring engine, EssentEDGE and selecting and pricing long-tail mortgage credit risk. Overall, we remain pleased with the business we are writing and the related expected returns. We continue to execute upon our diversified and programmatic reinsurance strategy while focusing on optimizing our cost to reinsurance. During the quarter, we successfully executed the tender of two seasoned ILN deals, which retired $637 million of bonds that did not provide any regulatory or economic capital credit. Also last week, we priced our ninth Radnor Re ILN transaction, selling $281 million of bonds covering production from August of last year through the first half of 2023. Our belief remains that access to multiple sources of capital is a key element of our operating model, and we are pleased with the executions of both the tender and the latest ILN deal. As of June 30, Essent Re's third-party annual rate run revenue are approximately $80 million, while our third-party risk in force is approximately $2 billion. During the quarter, Essent Re continued to capitalize on the current environment to optimize returns and contribute to the profitability of our franchise. Cash and investments as of June 30 were $5.4 billion, and the annualized investment yield for the second quarter was 3.5%, up from 2.5% a year ago. Our new money yield in the second quarter approximated 5%, providing continued tailwinds for our investment portfolio. As a reminder for every 1 point increase in the investment yield, there is a roughly 1 point increase in ROE. We continue to operate from a position of strength with $4.7 billion in GAAP equity access to $1.4 billion in excess of loss reinsurance and over $1 billion of available holding company liquidity. With the trailing 12-month underwriting margin of 78% and operating cash flow of $697 million, our franchise remains well positioned from an earnings, cash flow and balance sheet perspective. Our strong financial performance affords us the ability to take a balanced approach between capital deployment and distribution. This includes the approximately $93 million associated with the Title acquisition, we completed at the start of the third quarter. Similar to when Essent Re started, we view Title as a long-term and attractive call option for the future growth of the Essent franchise. Year-to-date through July 31, we repurchased approximately 1.1 million shares for $46 million. Further, I'm pleased to announce that our Board has approved a common dividend of $0.25. We continue to see our dividend as a meaningful demonstration of the confidence we have in the stability of our cash flows and the strength in our capital position. Now let me turn the call over to Dave.
David Weinstock: Thanks, Mark, and good morning, everyone. Let me review our results for the quarter in a little more detail. For the second quarter, we earned $1.61 per diluted share compared to $1.59 last quarter and $2.16 in the second quarter a year ago. As Mark previously mentioned, our second quarter 2022 results benefited from the release of approximately $63 million of reserves associated with COVID-related defaults from 2020. Net premium earned for the second quarter of 2023 was $213 million and included $17.7 million of premiums earned by Essent Re on our third-party business. The average base premium rate for the U.S. mortgage insurance business in the second quarter was 40 basis points, consistent with last quarter. The net average premium rate was 33 basis points in the second quarter of 2023, down 1 basis point from last quarter due primarily to the net impact of the successful ILN tender Mark discussed. Ceded premium increased to $39.5 million in the second quarter compared to $33.6 million in the first quarter, largely due to the tender. Net investment income increased $2 million or 5% in the second quarter of 2023 compared to last quarter due primarily to higher yields on new investments and floating rate securities resetting the higher rates. Other income in the second quarter was $8.1 million, which includes a $2.7 million gain associated with the fair value of embedded derivatives and certain of our third-party reinsurance agreements. This gain was largely due to a decrease in our derivative liability, resulting from the reduction in outstanding insurance linked notes from the completed tender offer. This compares to a $368,000 decrease in the fair value of these embedded derivatives in the first quarter of 2023. The provision for loss and loss adjustment expense was $1.3 million in the second quarter of 2023 compared to a benefit of $180,000 in the first quarter of 2023 and a benefit of $76.2 million in the second quarter a year ago. At June 30, the default rate was 1.52%, down 5 basis points from 1.57% at March 31, 2023. Other underwriting and operating expenses in the second quarter were $42.2 million, a decrease of $6 million from the first quarter. The first quarter included higher transaction costs associated with our Title acquisition and higher payroll taxes associated with the vesting of shares and incentive payments, which historically occur in the first quarter. The operating expense ratio was 20% this quarter, a decrease from 23% for the first quarter. We continue to estimate that other underwriting and operating expenses will be approximately $175 million for the full year 2023, excluding expenses associated with the Title acquisition and related transaction costs. Income tax expense in the second quarter of 2023 includes $5.3 million of net discrete tax expense associated with prior year tax returns. For the balance of 2023, we currently estimate income tax expense will be a 15.2% annualized effective tax rate. During the second quarter, Essent Group paid a cash dividend totalling $26.5 million to shareholders, and we repurchased $29.5 million of shares under the authorization approved by our Board in May 2022. As Mark noted, our holding company liquidity remains strong and includes $400 million of undrawn revolver capacity under our committed credit facility. At June 30, we had $425 million of term loan outstanding with a weighted average interest rate of 6.87%, up from 6.52% at March 31. At June 30, 2023, our debt-to-capital ratio was 8%. During the second quarter, Essent Guaranty paid a dividend of $90 million to its U.S. holding company. Based on unassigned surplus at June 30, the U.S. mortgage insurance companies can pay additional ordinary dividends of $278 million in 2023. At quarter end, the combined U.S. mortgage insurance business statutory capital was $3.2 billion with a risk-to-capital ratio of 10.5:1. Note that statutory capital includes $2.2 billion of contingency reserves at June 30. Over the last 12 months, the U.S. mortgage insurance business has grown statutory capital by $181 million, while at the same time paying $300 million of dividends to our U.S. holding company. As Mark noted, effective July 1, 2023, Essent U.S. Holdings acquired all of the outstanding shares of the capital stock of Agents National Title and all of the membership interest of Boston National Title, for $92.6 million in cash. The acquisition was funded using existing cash and short-term investments and the purchase price is subject to customary post-closing adjustments. Now let me turn the call back over to Mark.
Mark Casale: Thanks, Dave. In closing, our capital position, liquidity and underlying results remain strong. The high quality of our portfolio and strong employment are driving credit performance while our interest rates are benefiting the persistency of our in-force book and investment income. This strong operational performance continues to generate excess capital, which we will deploy using a measured approach between investment in growing our franchise and distribution. We remain confident in our buy managed and distributed operating model and believe a measured approach to our capital is in the best long-term interest of Essent and our stakeholders. Now, let's get to your questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Mihir Bhatia from Bank of America.
Mihir Bhatia: I wanted to start by asking about the reinsurance transaction. Are these the first of these vectors that you've done did they have an impact on premiums in the quarter? I think one of your competitors talked about that a little bit, having done them for the first time this quarter. Just wondering, if you could maybe give us some color on that? Just the economics of the transaction, how you expect it to impact future quarters ceded premiums or premium rate.
Mark Casale: A couple of things, on the tender, think about it, I think around $8 million of it was additional ceded premium for this quarter. That's why you saw the jump. But longer term, we should see approximately $40 million of savings. So, all in kind of $30-ish million, which you'll see a reduction in the ceded premium in future years, and that's really -- those are the two deals that really didn't give us a lot of either PMIERs capital or capital -- economic capital credit. So, we don't see us tendering any other deals at this time. But we -- again, that was a unique circumstance because those deals got locked out with the COVID default. So, they really didn't pay down. So, it was a good opportunity. We talked about in past quarters optimizing that reinsurance cost. So, this is a good example of us able to do that.
Mihir Bhatia: Got it. That is quite helpful. And then just switching gears to the Title business maybe now that the transaction is closed. Maybe talk a little bit about what your initial focus is going to be? How fast do you think the integration can go to the extent there is much integration to do. And just what you -- what should we be expecting in the near term from that business, even if it's just a really high level from like a revenue standpoint or something?
Mark Casale: Yes. I mean, again, we just closed it just a little over a month ago. So, we’re really just getting started on the integration. Here it’s two different companies. We’ll run them as kind of divisions within Essent Title. So, the integration process is really going underway, and it’s probably -- it’s quite extensive. Again, I would look at this. I said this back in February, this acquisition was more akin to us buying the Triad platform back in 2009. With that, we got an operating platform. We’ve got some really good people, but it was -- we were Essentially a start up. And the Title business that we acquired is it’s not quite a start-up, but it’s more start-up like. So we’re going to approach it that way. We’re going to build out the infrastructure improvements to be made around the system. There’s going to be investments, and we’re going to take a long-term approach. So, like I said, again, in the script, think of it as a call option for the investors. It was 2% of our GAAP equity. This is a 3-, 5-, 10-year program. This is the chance for us to build another significant operating business, but they don’t happen overnight. I mean when we started Essent and we wrote our -- we started building it in '09. We did our first loan in '10. We didn’t break even at '12. So this is not going to be very material at all from a financial perspective. So I wouldn’t model much at all for the next -- I think it’s going to take us realistically 12 to 18 months just to stand it up to get it to where we can foresee kind of future growth, both on the agency side and the lender services side. It’s -- these are again the -- these are smaller companies. And that’s really what we wanted. We wanted this start-up type platform to allow us to kind of build out. But again, near term, financially from a modelling perspective here, I wouldn’t put much in.
Operator: And your next question comes from the line of Rick Shane from JPMorgan. Your line is open.
Rick Shane: Look, you guys have been consistently innovative both from an operational perspective, but also in terms of your use of technology. We are arguably on the cusp of maybe the next really significant technology evolution in terms of machine learning and AI. I am curious as a data heavy company, but also a midsized business with midsized resources, how you will take advantage of this and how you're pursuing this? And particularly, anything you're seeing through your venture portfolio that's intriguing.
Mark Casale: Yes, Rick, taking a step back, just on the MI side, let me try to break it into pieces, right? On the MI side, we’re pretty far in, in terms of the use of artificial intelligence and machine learning around the engine and we have been for quite a while. It’s all hosted in the cloud. Most of our operating platform now is in the cloud. So, we’ve kind of shifted that into the cloud, which there’s a big protection from a cyber perspective. We believe a lot of computing power up in the cloud, but there’s a cost to it, too. So you put out a good point. We’re not -- we don’t have endless resources. So you really -- just like I talked about on the reinsurance side, we have to optimize kind of the IT cost. I would say we’re in a really good spot on the MI side. There’s going to be some improvement that we’re going to make. We’re able to leverage the engine now around underwriting. So kind of like an automated underwriting system that will help us on the non-delegated piece, again from an efficiency standpoint and we’ve continued to use over the years, technology to lessen those costs. So less underwriter input, more underwriter analysis. So we constantly look at that. And we’ll have, I would say, continued improvements on the MI side, but it’s a little bit of a law of diminishing returns, right? We only have 400 folks on the MI side. So there’s not a ton of efficiencies continue to be made other than you’ll make the model better. On the Title side, that’s a different story, right? That’s -- when you think about our business on the MI side, the three main risks are credit, regulatory and operational kind of in that order. I think on the Title side, operational risk is probably number one. Regulatory is number two, probably not as severe as on the MI side per se. And third is credit. They don’t really have a lot of credit risk because they do the work so well. I mean if you do the Title search well and a curative work well, you shouldn’t have a lot of claims. So, there’s a misnomer in the Title business that they don’t -- there’s not a lot of claims. There’s not a lot of claims because they do a good job. That number one risk on the operational side is very people intensive. So that there is, can we use some of the learnings on the MI side to be a more efficient on the Title side? It remains to be seen. It's a technology. It's definitely a way to lessen the amount of input and people that you need on that side of the business, but it’s not that simple. It’s going to take a while. And I think the technology on that side is pretty -- we’re pretty early in the process. That’s -- we’re going to have to make investments on the Title side around technology. The two big things on the Title side in order to scale longer term, are you going to need to have more control over your operating platform and more control over the data. And I think that’s smaller companies. They just use off-the-shelf software. They use the larger company’s data. Longer term for Essent, longer term meaning 5, 10 years, Rick, you have to take control of that. I mean we own that on the MI side. We could have never built out our pricing engine, if we had to rely on competitors for data or for access to the system. It’s almost -- it wouldn’t have been done. So you kind of have to have that same look on the Title side. In terms of ventures, Yes, we actually -- we’re looking at some funds that are dedicated to artificial intelligence, and we’re close on a couple. And there, they don’t really do anything in financial services. So there the key is what can you learn? What are they investing in that’s applicable to the financial services side? So it’s a little bit of a jump. We’re seeing some in some of the portfolio companies, but I don’t think -- I think we’re just kind of scratching the surface. So again, that’s part of when we talk about ventures. It’s really outsourced corporate development. We’re looking for companies and funds where we can learn things that can now improve the core business. With Title now, we have two core businesses potentially to improve. So actually, the impact of venture should be a little bit wider going forward.
Operator: And your next question comes from the line of Bose George from KBW. Your line is open.
Bose George: Actually, I wanted to ask just about the ILN transaction you did. How would you compare the execution in the ILN market with what you're seeing in the XOL, just the traditional reinsurance market?
Mark Casale: Yes, Bose, it's -- we had pretty good execution on the ILN side, I think significantly better than we had last year and probably closer to the 2021 levels. I think the more important -- and you've heard me say this before, the more important aspect of reinsurance isn't so much the quarter-to-quarter pricing. Yes, heck, we did a nice job this quarter. There wasn't a lot of supply in the market. We hit the market at the great time, good for us. But that's not really the importance of it. The importance of it is really the sustainability and the duration of the reinsurance market. And because it's by managed and distributed operating model, but this is the distributed part of it. So you're really looking for continued availability. And financial service 101 is really multiple sources of capital. So we're feeling better, I would say, quarter-by-quarter as to the ultimate sustainability of the reinsurance market. It's been tested twice. It was tested during 2020 when clearly, the market shut down for a little bit, but did open up in the fourth quarter and there was transactions. And I thought last year, to be honest, it was the biggest test. You're talking about volatility and upward movement in rates during the year, which caught everyone by -- really whipsawed, HPA at all-time levels, media crying that HPA is going to be up, and it's going to crash. The MIs, it's going to be hard for the MIs to do well. And yet, we did an XOL and an ILN and a venture. So the markets were open, albeit at higher prices. And now as we get into a year -- 12 months ago, the environment is completely different. Inflation has really subsided. HPA has flattened out, has grown a little bit in certain sectors. So, there's -- credit still remains strong and I think investors realize that. So, I think, again, good -- I wouldn't be surprised if you see other entrants into the ILN market because I think that's -- it looks like it's a good time to be tapping that side of the market.
Bose George: Okay, great. That's helpful. And a couple of little modelling question. The other income line item was up, what was driving that?
David Weinstock: Yes, the safe line stock. Other income, and there's a handful of things in there, but I would say probably the principal item of moving that up a little bit, so we had a couple of things, right? I mentioned that the derivatives in there. So, that was really the big thing that we had derivative gain this quarter. And last quarter, we had a small unfavourable valuation. So that's really -- that's going to bounce around associated with the derivatives.
Bose George: Okay. Great. And then actually, just the share count was down a little bit as well. So just curious what drove that?
Mark Casale: Yes. We’ve repurchased -- I think we’ve done 1.1 million shares repurchased through this year. We started in March, Bose, given a lot of that uncertainty with the KB index. So, we felt like, again, purchasing shares in that 90% to 95% book value really is pretty accretive to book value per share growth. So yes, that was really -- that’s really the mover.
Operator: Your next question comes from the line of Doug Harter from Credit Suisse. Your line is open.
Doug Harter: Mark, can you talk about the pricing dynamics you saw in the second quarter and kind of whether that changed kind of over the course of the quarter?
Mark Casale: We didn’t -- I think prices continue to move up. I mean, we were -- our average premium on new insurance written was probably up equally, that was in the first and second quarters. I would say in the second quarter, probably a little bit more pricing around the tails, less base increases. But I think we’re at a good and we said it in the script. I mean it’s a pretty competitive -- it’s always a competitive market, but it’s -- I think the pricing from a normalized standpoint, right? And we say normalized at 2% to 3% claim rate. I think the pricing is -- the unit economics of the pricing are kind of within that 12% to 15% range. I think given the uncertainty, though, Doug, right, I mean we still think things will -- the recession should. It’s the long-awaited recession. We’re still believing it’s in the '24 time period as the impact of higher rates kind of work their way through especially smaller businesses, the consumer has a lot of cash now, and it’s still employed, but smaller businesses start to lay off. So you could start seeing that impact in '24. So we’re still -- there still is more price increases to be had, again, from a market standpoint. We’re always shooting to be in that mid-teens share -- market share. And to the extent that we can optimize pricing around that, I think we’ll continue to do that. And I see that in the industry. We said this from the get-go. If you’re number one in share, it’s because you have the lowest price. It’s almost all best execution across both the engine and cards. So there’s really no hiding that. So I think the game is, is how to optimize your premiumand maintain that share. And I think the whole industry has done a good job with it. I mean it's been nice to see or heard for years that the industry is it’s not disciplined. And I think that’s the furthest thing from the truth. I think the key though is really the advent of the pricing engines, right? The industry has changed under three primary methods from the last 10 years. One, which people don’t talk too much about and not enough about is just the credit quality of the book, and that’s really a result of both the GSEs, the improvements around their engines, the qualified mortgage, which kind of keeps a lot of that I would say, core quality business outside of the GSE. So the GSEs have really been a great guardrail. Second has been reinsurance, which we talked about, our ability to offload that risk. And the third is the pricing engines itself. Just the base engine, forget, our ability to optimize score or the Essent core, that’s great. That’s a little bit different when I’m talking about the engines itself and the ability to make changes on it have really changed the industry. So we were able to react during COVID. The industry raised pricing in the face of this uncertainty and then worked this past year, the ability to raise pricing in -- across different MSAs, different tails, whatever appetite the MI -- any participant had were able to impact that change, which, again, 5, 10 years ago, you couldn’t do it, you couldn’t institute a price increase every quarter with a rate card. It would have been virtually impossible with all the lenders out there having to change their system and regulatory approval. So, this ability around the engine to make these, I would say, more micro changes it’s created pricing power for the mortgage insurance industry and more so than people really realize. And I think that’s the ability -- we’ve always had the discipline. We just didn’t have the ability to affect that kind -- how mechanism worked with the rate cards. And I think the engine has been a real breakthrough for the industry and gives us a lot more of that flexibility that other industries enjoy in terms of pricing credit risk.
Operator: [Operator Instructions] Your next question comes from the line of Eric Hagen from BTIG. Your line is open.
Eric Hagen: Maybe kind of a bigger picture question here, I mean if loss rates across the industry stay this low into early 2024, mid-'24. How do you see that potentially changing the competitive dynamic like in the industry itself as we look into next year? Like the fact that everyone seems to be generating excess returns with loss rates being this low, I mean, how do you see that affecting pricing, competition maybe even your own policy towards capital return as we look to next year?
Mark Casale: Yes. It’s a good question. I would say -- I wouldn’t think it would impact pricing, Eric, because remember, we’re pricing for that normalized 2% to 3% credit. And part of how it -- part of the results are impacted by the economy of which we have no control over, right? So if losses are better, that will then generate more excess capital and then there’s choices, right? Again, there’s choices to return that to shareholders via dividends or repurchases or to invest outside of the core business. And I think that will be the real result. I wouldn’t be surprised if again, just given the dynamics, if losses are lower, again, none of us really -- these are actuarial-based models. So we don’t price quarter-to-quarter and say, hey, losses are lower, let's go lower the pricing on new production. And again, just given the competitive dynamics around pricing if you lower price, to again, bring in more business, it’s easily matched. So again, there is no -- there’s a great -- that’s where when we talk about kind of the pushes and the pulls around pricing. And then just given the information that we all have, everyone can kind of see where the market is going. So, it would be a short-lived gain and you really would just be -- you would really just be giving away economics as opposed to saying, hey, we’re going to price for a normalized unit economics 12% to 15% returns, the result of a lower provision as excess cash. How do we deploy that? And I think taking a step back, again, not quarter-to-quarter or even next year, Eric, my view is the winners and losers in MI and not in that -- it’s not a binary and we could all be winners is really how the different companies deploy that excess capital, right? And you can’t judge that quarter by quarter. It’s really going to be over the next three to five years. And I think some that choose to return it all and shrink will have less choices, others -- we’re in the other camp, right? We’re in -- I can’t speak to other strategy. Everyone has -- I mean all the strategies seem to be pretty sound and it’s in the eye of the beholder. For us, we have to reinvest cash and grow mentality. We just happen to believe that longer term growing book value per share, and we’ve grown at 19% per annum since we went public. It will be harder as we get bigger, but that’s the challenge. And it’s going to force you to put capital to work to continue to grow that book value per share. And I think that’s what we’re focused on. And I think, again, a lower result on the provision would give us more cash to pursue that goal.
Operator: Your next question comes from the line of Geoffrey Dunn from Dowling & Partners. Your line is open.
Geoffrey Dunn: I fell off for a minute, so I'm not sure if I missed this, but can you provide the dollar impact of the tender offers on ceded premium this quarter?
Mark Casale: $8 million, I think, was an additional ceded premium.
Geoffrey Dunn: And then I wanted to follow up on pricing. And so, I understand your pricing for the longer-term credit, normalized credit. How do the mechanics of investment yield and higher interest rates affecting cost of capital factor into that. Obviously, we're thinking forward to when, let's say, it's a soft landing and the economic expectations get better. I'm trying to understand kind of the puts and takes that might help sustain pricing at these improved levels versus what might be given back, as economic expectations hopefully improve?
Mark Casale: Yes. Good question. Again, I think on the yield, that's another factor where our yields historically have been kind of in that 2% to 3% range, putting new money to work at 5%. That's a pretty significant increase both in nominal dollars, right, falling to the bottom line and certainly improves the unit economics. But however, we -- when pricing we use probably a more normalized investment yield kind of closer to like a 3-ish percent. So, we don't incorporate that into our pricing is really kind of the short answer. It's really driven around credit. We look at pricing on an unlevered basis. So, we don't really look at the cost of debt. We don't have a lot of debt anyway for -- to make meaningful. I think again, Geoffrey, you're looking -- if the economy brightens, I'm not sure that lowers pricing. I would find it hard to believe, in fact. I think it's -- nothing would surprise me. But again, when you're pricing for a normalized, just do the simple math, 2% to 3% claim rate, the capital that we hold, either economic or PMIERs, that normal-ish expenses and investment income, that NIW should have a fore handle on it. And if it does, you're probably going to have good economics, you start driving it down to where it was at the end of '21 and '22. Just don't go to economics. And I don't -- we were pretty outspoken about it then. And that's one of the reasons to the earlier question with Eric. We're going to continue to look for other places to allocate capital because you don't want to be in that situation where you have to follow the market down. And I think that's what we have to be careful of one of our -- one of the six MIs is part of a much larger insurance company, and they do a fantastic job of allocating capital, so they can move in the market and out of the market. And I think that's when you look at companies that you want to emulate. I think that's one we can't emulate their strategy because we don't have their experience on the P&C side. But creating choices around allocating capital allows you -- that also affords you the ability to stay more disciplined.
Geoffrey Dunn: Okay. And then obviously, the risk to your statement is different views of what normalized credit actually is. Is it 2% to 3% cumm or is it 1.5% to 2%. Where is your general sense or confidence that the industry is aligned with your assessment of own less credit?
Mark Casale: I don’t know. I mean, I can’t really speak to them. I don’t -- I just think about the big picture two or three loans out of 100 gone bad doesn’t sound like super aggressive, to me it seems pretty normalized. So, I think when you’re saying one-ish, I think that’s where you’re probably moving a little bit. That’s -- you only need a small bump before that number is way off. So, I think that’s again, when the pricing drove down to that level, that’s almost -- you had to believe that it was probably less than one. So, it was really hard to make the math work in my view. And so, I can’t really comment on what others think. It’s just -- I think our view, which has been there for a while, and it’s given the credit criteria of the book, which is a good book, but it’s still a high LTV book. So I think, again, I think it’s a pretty pragmatic assumption on our part.
Operator: There are no further questions at this time. I will now turn the call back over to management for some final closing remarks.
Mark Casale: Thank you, operator, and thanks everyone for participating today, and have a great weekend.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.